Operator: Good morning and thank you for waiting. Welcome to Companhia Paranaense de Energia COPEL Earnings Call to discuss the Results of the Second Quarter of 2018. [Operator Instructions] Before proceeding, we should mention that forward-looking statements that management make during the conference call related to Companhia’s business outlook, projections, operating and financial projections and goals are based on beliefs and assumptions of the company’s management and on information currently available to the company. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur. General economic conditions, industry conditions and other operating factors may also affect the future results of Copel and could cause results to differ materially from those expressed in such forward-looking statements. With us today, we’ve Mr. Jonel Nazareno Iurk, CEO of the company; Mr. Adriano Rudek de Moura, CFO and IR Officer; Ms. Ana Leticia Feller, Business Management Officer; Mr. Harry Francoia Junior, Legal and International Affairs Officer; Mr. Jose Marques Filho, Business Development Officer; Mr. Vicente Loiacono Neto, Governance, Risk and Compliance Officer; Mr. Sergio Luiz Lamy, CEO of Copel Generation & Businesses; Mr. Antonio Sergio de Souza; CEO of Copel Distribution; Mr. Adir Hannouche, CEO of Copel Telecom; and Mr. Antonio Justino Spinello. CEO of Copel Comercializacao. The presentation will be delivered by Copel’s management and maybe followed on the company’s Web site @ir.copel.com. Now we turn the floor over to Mr. Jonel Iurk, CEO of the company. Mr. Jonel, the floor is yours.
Jonel Nazareno Iurk: Good morning everyone. Thank you very much for your participation in our conference call. It is a great pleasure to talk about our results and to go into the details of the works we’re performing and the advancements of the Copel group. The first highlight that I should mention is regarding governance [ph]. On June 29, we held the 197th Extraordinary Shareholders’ Meeting and we approved the new Copel's Bylaws stressing even more the levels of governance in all areas and company's of the Copel group as well as it includes more details in terms of attribution, contemplating policies, forward risk management transactions with related parties, corporate governance, integrity in the evaluation of performance of the statutory bodies among others which are truly compliant with the law 13-303, which are -- which is a state owned company's law. The consolidation of this new Bylaw is really important to set and it is part of the plan of continuous improvement of our governance in all this aspect, which is responsible for establishing policies and procedures for risk management and control as well as following up the compliance of internal [indiscernible] one of the first companies in Brazil to have in specific area for compliance, which is totally independent and reports directly to the Statutory Audit Committee. In addition to the new Bylaw following the terms of the state owned law, we also have implemented severe and strictly technical controls, such as [indiscernible]. Therefore, [indiscernible] officers at -- for our top management areas and Board of Directors of the group companies, including the ones in which we have minority stake. We have also reviewed the code of conduct and integrity policy increasing, therefore the company's control procedures. The measure that was important with the creation of the coordination of financial controlling under the supervision of the finance and IR area, and the objective here is to stress and to improve the control in the financial management of the companies in which we invest. This area is already working in reviewing and aligning the financial practices and policies, driving Copel even closer to the daily activities of these companies and all these improvements maintain Copel in the state of art of governance practices leading the demands of the market and especially the demands of our shareholders. I should highlight that the corporate governance subject in Copel was one of the pillars of our sustainable growth strategy, including among others. The search for greater efficiency in the quality of our services and also better productivity in our process, also focusing cash generation with the conclusion of all construction works that are ongoing as well as with the financial discipline by having a balanced capital allocation and cost reduction, allowing to have a readjustment in the profile of our debt, reducing leverage. And this plan is being well executed and we have several results, which we will talk about in a few minutes. About the results of the second quarter, as highlighted on Slide #3, we reached an EBITDA of R$833 million, 18% higher than the EBITDA of the same period of the prior year. In addition to that, we also had net income of R$353 million, 134% higher vis-à-vis for the 2Q '17. I drive your attention to the fact that the company had a drop of almost 7% in cost with personnel. Thanks to the major efforts to reduce manageable cost, especially in our distributing company that reached an EBITDA of R$231 million in the quarter, 72% higher than the EBITDA of the same period of the prior year and Moura will go into details on the comparison. As you can see on the chart, we have been able to get the power distribution results closer to the regulatory level and thanks to the cost reduction plan. That should be even lower starting in 2019. It's also important to say that Copel Distribution fully applied the tariff adjustment of 15.99%, of which 15% and 68% referred to transferring costs with energy and charges. And 0.31% are regarding to adjustment of [indiscernible] in which -- with the plan of cost reduction and also market growth will help increase the margins of Copel Distribution. And talking about market growth and now turning to Slide #4, we can see that even below the initial projection, the gradual economic recovery is providing a positive influence in the energy consumption with the grid market of Copel Distribution, we have a growth of 2% up to the half of the year. The improvement in the economic environment, although [indiscernible] also has influencing the reduction of the delinquency index in Copel Distribution that has ended June at 1.25%, the lowest level in the last 8 years, while provision for ADA that has been ended in the second quarter at R$16.9 million, had drop of 34% vis-à-vis, the same comparison for 2017. This effort is a reflection of how we are facing the matter. Now in August, we have started a new practice at Copel distributing company that should help us reduce delinquency and also reduce cost with disconnections and reestablishing the energy supply. Now when Copel Distribution grow consuming and that they offer the possibility of saying over to invoices by using debit or credit cards and -- as consumers also we have the possibility of saying installments, up to 12 installments, and the first phase of the practices we’ve already avoided 237 disconnections which is a great indicator of this new measure. That’s why Copel Distribution is recognized as one of the best distributing companies of energy in the country. We have received the Abradee Award of the best distributing company in the south of Brazil, and also the best distributing company in Brazil as from -- as management of quality is concerned. These excellent results are seen in the continuous increase of ELC and EFC that have ended June at 4.82 and 2.98, respectively. Figures that once again show the maintenance of those indicators at levels the mandate ANEEL, resulting in even more quality in the energy supply for our consumers and allow us to comply with the basic requirements to maintain the compression. Now turning to Slide #5, another subject that we should highlight as cash generated by operating activities of approximately R$1 billion in the quarter, an improvement of 10.7%, vis-à-vis the same period of '17. And a year operating activities have already amounted in cash of R$2 billion, R$359 million higher than last year in terms of investment as we have being stressing our focus is to conclude the ongoing construction work as soon as possible as we can see in the slide, we have invested R$604 million in the second quarter, totaling almost R$1.3 billion through the half of the year and most of that amount is regarding works that are being concluded in Colíder, Baixo Iguacu and also Cutia Wind Farm. Now going into details in our investment plans, Cutia Wind Farm was a project that has demanded the high demand of investments, totaling R$483 million up to June. The construction works in Rio Grande do Norte are at a true phase and the first winter wind should start operating in the next week. Copel Telecom have invested R$129 million in the first half of the year basically in the expansion of our grid to meet the growth of the coverage area demand. And also the number of clients and Copel G&T has invested R$307 million among projects such as the plants of Colíder and Baixo Iguaçu and transmission line [indiscernible] project operated in June having R$30 million to Copel's APR. So I would like now to highlight this as part of our operation of this transmission line at Araraquara-Taubaté which we have 334 kilometers crossing 28 cities and the State of São Paulo. And this -- with this line, we have reached 4,724 kilometers of transmission lines in operations now considering also our stake in FECs. About Colider, the construction works have been concluded. The reservoir is full. The transmission line that will connect the plant to the National grid is ready and only we have to finalize some details regarding the generators and also the publication of the operating license, so that we can turn the key and start the energy production. I should highlight that this is a very important moment in Copel's history because we are very close to start operations in two relevant projects which are HPP Colider and Cutia Wind Farm that represents 630 megawatts of installed capacity. If we consider our capacity of 105 megawatts and the HPP Baixo Iguaçu that will start operations in January will then be increasing our installed capacity in 718 megawatts which is equivalent to a growth of almost 13% in the next month. Well, these where the main operating highlights I wanted to bring to you. Now I will turn the floor to Moura and he will go into the details regarding the results for the quarter.
Adriano Rudek de Moura: Thank you very much, Jonel. Good morning, everyone. Thank you for your participation in this conference call. As Jonel well said, we are going forward in several areas and the execution of our expected plan is in line with our goals. I should highlight that in the [indiscernible] despite of all the uncertainties in the economic scenario and the political scenario the country have shown a negative impact regarding an unfavorable hydrologic environment, especially in the last few weeks of the second quarter. We are delivering another quarter with the results that meet our expectations and are also the market consensus that shows that we’re on the right track. And it means that we have been able to identify opportunities that helped us to offset the negative effects that are non-manageable. The EBITDA of R$833 million in the quarter was 18% higher than the one that we had in the same period of '17, which was around R$707 million and that result we had extraordinary -- positive extraordinary effects that are in the presentation basically related to an impairment reversal of R$80 million coming from an improvement in the scenario of the sale of energy generation access that in the same period of '17 represented an increase of R$31 million, also we posted a reimbursement of R$72 million from asset suppliers for Brisa Potiguar Wind Farm and also reported R$37 million for Copel Distribution related to the results of the quarterly earnings report of '18, because of recognition by ANEEL of an FPU from 2017 of differences regarding tariff subsidies. This positive extraordinary effect amounting R$127 million were more than enough to offset the negative impact of additional provision for labor lawsuits, especially regarding to one corrective labor lawsuit in the amount of R$45 million. Therefore, the adjusted EBITDA net of the extraordinary effect that I’ve just mentioned, would be R$751 million Phase 3 in line with our results with the same period of 2017 with the same comparison base. Considering the results per subsidiary, Copel G&T continues to have in the greater contribution in terms of EBITDA, 50% of the total. And I think we’re ready excluding all extraordinary effects that we mentioned and when compared with -- to 2017, there was a drop of 7% and in the phase it was mainly because of the unfavorable hydrologic impacts in the same period of comparison that have been affected by a lower GSF and now also by the strategy of energy allocation. But we’re able to partially offset those impacts with the results over the new lines of transmission and also by the adjustment of the ATR in July of '17. Copel Distribution, the adjusted EBITDA of R$239 million also represented a growth of 70% when compared to 2017, reflecting in addition to the market growth. The result of favorable initiatives of productivity improvement and also cost reduction with personnel as well as a significant reduction of delinquency as already mentioned. It's important to say that the cost reduction was personnel [indiscernible] Copel Distribution is, thanks to a series of measures that the company had been taken to reduce cost and all its subsidiaries. Among them, we should highlight this reduction in our headcount. Copel Telecom had a growth of 16% in its adjusted EBITDA from R$38 million in the 2Q '17 to R$44 million in the second Q of '18, and this performance is basically related to the expansion in our client base. Another highlight is that cash generation for operating activities already mentioned by Janel, that has reached the R$1 billion [indiscernible] in the quarter. And that is an improvement of almost 11% vis-à-vis the same period of '17. And the years that are operating cash generations have already reached over R$2 billion, R$360 million higher than last year. And the details can be checked in the quarterly earnings report. And talking about the operating cash generation, I should highlight that with the part of our operations of all projects that we’re almost including, as Jonel, once again, has mentioned, we will increase our installed capacity in over 700 megawatts which is equivalent to a growth of almost 13%. Therefore, we may consider an operating cash generating that is going to be additional and relevant. And today that is estimated in approximately R$400 million based on the current references. Now turning to Slide #7, where you can see more details of the recurring operating revenue which was up 2.5% in the second quarter when compared to the same period in '17, already going over R$3.5 billion and here we have already eliminated extraordinary effect, so that we can have a better comparison. You can see that the sales to end [ph] customers had a growth of 19%. Thanks to the adjustment applied to the tariff of Copel Distribution in June of '17, which adjusted the tariff of energy in around 10%. And also that was because of the growth in the sale -- the volume of energy sold to final consumers and we should highlight here the growth of 3.3% in the capital market of Copel Distribution and the sale of 464 gigawatt hour for free clients of Copel commercialization. The revenue for sales to distributors had a drop of almost 25% due to the strategy of the energy allocation of Copel G&T and also to lower GSF in this period. The line of the grid availability had an increase of 6%. Thanks to the group meant of 3.7% and market in the quarter and now it also just -- could the adjustment applied to the APR starting in July '17 discounted that the elimination of the balance coming from the revenue among the revenue from companies of the Copel G&T and Copel Distribution regarding the APR related to RBSE which was posted in Copel G&T revenue over '16 and again beginning in '17. The Telecom revenue was up 19% and that reflects the expansion of the client base for Copel Telecom, as we’ve already mentioned. Now the posting of CVA line reflects mainly the major costs with purchasing energy by Copel Distribution, because we had higher costs with Colider energy coming from higher spot prices and lower GSF and also energy coming from [indiscernible] because of the dollar appreciation. Finally, an increase of 31% in other operating revenues reflecting mainly an increase in the construction works revenue. On Slide #8, we have the costs and operating -- recurring operating expenses that were a little bit over R$3 billion in the second quarter of '18, a little bit over 13% of what we had in the same period in '17. And that was because of the increase in the cost of purchasing energy that totaled R$1.5 billion in 2Q of '17, an increase of R$139 million vis-à-vis 2Q 17. Also because of a larger amount of gigawatt hour purchased by Copel commercialization, which has reached in this quarter, 782 gigawatt hour versus 210 gigawatt hour in the same period of '17. The grid usage charges had an increase of 121% because of higher costs with system usage charges with the transmission of energy from Itaipu and also reserve energy charges and the provision of reversal lines adjusted by extraordinary events had an increase of 5 million compared to the second quarter of '17. And this growth is mainly because of higher balances related to legal claims. And now manageable costs that are recurring ahead, had an increase of just 1%, R$7 million, mainly because of higher cost with third party services and we will go into details in the next slide. Now turning to Slide #9, we have the PMSO performance where you can see that not considering the provision related to the voluntary redundancy program indemnity, the cost with personnel including retirement and a second plans, it had a drop of 2.1% even after the adjustment of 1.63% applied to wages in October of 2017. That performance already is reflecting among all other measures. The policy adapted by the company have not reopening positions and this is contributing to reduce our -- for reducing our headcount, which has ended June 2018 with 8,104 employees, reduction of 349 people in the last 12 months, considering the environment in the volunteered in this program, 99 people left the company in the first half of the year and 610 people might leave the company by the end of 2018. And in case, all these new people decide to make the company, do you have a potential savings of up to R$200 million a year starting in 2019. These will be annual savings of R$200 million, starting 2018. Copel today is clearly a more efficient company, our plan to improve productivity and to reduce costs is consistent and it already shows positive results. We are also counting on the help of specialized consulting services and we have target to improve in the short and in the medium-term. We are also investing in technologies to support the activity in certain operating areas, therefore we are already including in our budget reviews also for business plan for 2019, important cost reductions in different areas. Costs, which outsource the services, it had an increase of 13%, reflecting mainly the increase in work related to communication processing and data transmission and maintenance of the electric system in addition to adjustments of contracts and other costs as operating expenses had a reduction of 1%. Therefore manageable costs have increased a little bit over the 1% in the quarter. But if we consider the inflation of 4.4% accumulated in the last 12 months, actually manageable costs had a real reduction of around 3%, which is a very positive sign in our results. Now on Page #10, we should highlight a positive trend in the level of leverage. And to date, the ratio, net debt, EBITDA, went from 3.3x in the last 12 months at the end of the first quarter of '18 and 3.1x at the second quarter of '18. Remember, the limit according to the covenants is of 3.5x. We understand that the additional cash generation of the new undertaking. As we’ve mentioned, there's approximately $400 million a year. And also the combination of several initiatives, some of them are already implemented such as cost reduction improvement in the process that could reach a -- additional annual savings of approximately R$200 million. And also the CapEx reduction that should happen in the next year. After we conclude several projects now in 2018, all of that certainly will bring down our leverage. Right now we’re focused on the expansion of our debt that right now have an average duration of around four years with relevant maturities in the next last 12 months. And we continue assessing several possibilities for funding and now so for initiative for cash generation, including a broad 30 for divestment that considers the strategic relevance of several assets of Copel, attractiveness in the market and the possible accounting and financial impact, in case we decided to go ahead in such a divestment. Additionally, our fundings plan is adjusted to meet the demand of investments focusing it including the ongoing construction work, as well as enrolling over the short-term maturity. And that is going as planned. Also we’ve just concluded a funding process of R$1 billion at the end of July and so now we’ve fundings of over R$2.2 billion in 2018 so far. But it's important to say that Fitch has still restated our long-term national rating which is above A- with -- on a stable perspective emphasizing that both cash position of the group and also the possibility of increasing our cash generation coming from the new undertaking and also from the cost reduction plan which have everything to do with our vision of high financial capacity. We are still following our strict financial discipline and evaluations regarding in investments as well as dedicating all efforts, so that all projects are finalized within our initial expectations needing the regulatory demand and conflicted schedule in the way that we can't maintain the flow of funds forecasted for such undertakings. Finally, on Slide 11, we have our net income totaling R$353 million and an increase of 133% vis-à-vis, R$151 million reported in the second quarter of '17 and the main contribution here is still coming from Copel G&T with 67% of that net income. And so right now, we turn to our Q&A session.
Operator: Thank you very much. We will now start our Q&A session. [Operator Instructions] Our first question is from Mr. Kaique Vasconcellos, Safra. Please Mr. Kaique.
Kaique Vasconcellos: Good morning, everyone. Thank you for the call. I’ve a question about your strategy of commercialization with [indiscernible] Copel which has the part of its energy that’s already contracted, and so what is the level that the company considers ideal in terms of contracting for the HNB protected regarding the GSF? And I also would like to understand what will you -- what’s your allocation this year? And which impacts you were expecting for the second half of '18? Because the GSF is very low. Thank you.
Sergio Luiz Lamy: Good morning, Kaique. This is Sergio Lamy from Copel G&T. About the first part of your question regarding strategies for commercialization, we all know that Copel historically is very prudent, very cautious regarding the risks coming from a high spot price and a lower GSF and especially in the second half of the year. For this year, specifically, we have a contracting level that is close to 80%, that’s already contracted for 2018. This is duly seasonalized. We did have now more contracting in the second half of the year and already addressing the second part of your question, for this year, I think we expect to have a balanced performance in the short-term market. That means that we have no expectations of positive results, nor negative results in the short-term. We will thus protect ourselves against the effects of the lower GSF and also high spot prices. Now about the future, we have an expectation and today we have that expectation regarding 2019, we have already 80% of contracted of our fiscal guarantee. We do have targets defined for Copel commercialization regarding sales for future years. And our target, once we even conclude sales during the remaining part of the year and when we need our target, we will start 2019 with 84% of that energy. It's still a little bit lower than this year. And we believe that we will have a less critical situation next year, but also we do not forecast a very favorable situation here. And for the other years, we expect to reach the end of this year after meeting all these targets with 67% to deliver in 2020 and, 40% of contracting already to deliver in 2021. And as we get close to those years, we review our study and we do that fine tuning of our strategy of energy allocation, so that we can protect ourselves against the GSF. And I hope I have been able to address your questions.
Kaique Vasconcellos: Yes, very clear. Thank you.
Operator: Our next question is from Mr. Marcelo Sa, UBS. Mr. Marcelo, the floor is yours.
Marcelo Sa: Hello everyone. Thank you for the call. Analyzing in through the details of your cash flow, I could see that most of the improvement in the cash flow came from working capital and an improvement there I think on that -- on Slide #5 that is very clear. It seems to be 700 million when you look at half of the year. My question is what are the chances of the next quarter you might have a reversion of this working capital. Because I want to understand what in fact has happened in the first half of the year. And what of that is recurring, and what may have been caused by an improved in the working capital? My second question is what can we expect in terms of CapEx for 2019, 2020? Can you give us some details on that? Thank you.
Jonel Nazareno Iurk: Marcelo, thank you for your question. I will try to address your working capital issue, as you see our figures, we will find that we have an improvement also in our delinquency levels that helps a lot. And all the connections and we had the benefit of the program was started last year, that had a positive effect of $400 million. This is a nonrecurring item. We do not expect to see that again. So this is basically the comparison I would say that you're not going to see lower figures either that impact social contribution, in England tax. We should even maintain a small variation therein, even a positive one regarding our working capital. And now about CapEx. As I mentioned in the call, we expect to have a significant reduction in our CapEx for next year. We don’t want to have the [indiscernible] of figures, but there is a front focus on that. And if you do the Math of those R$3 million of capital approved for 2018, on the [indiscernible] is for Cutia alone. So we do not believe this is going to be recurring for 19. And we are making all needed adjustments in order to focus in the ongoing construction works so we believe that there will be a significant reduction for next year. Well, can you give us more details about the CapEx between R$1.5 billion and R$2 billion. I’m sorry, I was not able to listen to the last part of the question. I just want to understand, this adjustment about the CapEx. You said the Cutia CapEx will not happen again. So can we understand a recurring CapEx in around R$1.5 billion and to [indiscernible] a year for Copel? We don’t have that figure yet for Marcelo. We are working in order to have it as low as possible, but I can tell you that there's one villain 1.5 the next year. We do not expect to have major investments other than the regular projects that are already ongoing unless we have a relevant project that is good for Copel. But we do not have that expectation right now, so I could tell you that the reduction will be relevant, but I cannot give you a final figure.
Marcelo Sa: Thank you. So a final question then about Copel Telecom. We can see here that this is a business that brings cash because the CapEx is higher than the EBITDA. And also we have the expenses of the company. So my question is considering the success that we had in selling their telecom assets. Are you thinking about selling this asset, are you thinking about -- did you think the amount invested there? Do you believe this is going to be burning, cash for a long time up to a moment when you’re going to see a positive cash generation in Telecoms. So what is your mind set as far as the segment is concerned?
Jonel Nazareno Iurk: Well, Telecom is very attractive asset for Copel. I think we’ve been able to validate it successfully with syndications. We are dealing with this topic very well and its attractive and it has to remain attractive, but our investments are focused and technology and client expansion and we already have consistent results we haven't made an adjustment in the CapEx for this year to adjust our cash flow. But it is the right, fully adapted to the demand, so that we can continue the needed expansion. But once again this is an attractive asset and we always look at it very carefully, so that we can have an alternative. And if that’s the case, one day, we could divest it in that initiative. Thank you. So from what I understood, the idea is that you want to continue investing on this asset because it is a good asset, it makes sense. But eventually in the future that could be discussed, But right now we will continue our operations as they’re.
Marcelo Sa: Yes. That’s it. Thank you.
Operator: Our next question is from Marcelo Britto from Citi. Mr. Marcelo, the floor is yours.
Marcelo Britto: Hello, I’ve two questions. The first one is about the impact of the truckers strike. We have seen some company's reporting lower reserves and lower growth, because of that strike. And some of the company's estimated the impact in the recurring growth of the company. In the case of Copel, your grid market has increased in the quarter. We wanted to understand how much you do leave this market could have gone, and if we do not had that strike. This is one question. And my second question and I will go back to energy allocation. What I wanted to understand is that when we look at the commercialization and generation companies, in fact, and now so the purchase of energy and these two quarters, by these two Copel companies, it seems to me that is it's clear that Copel is very well located for the second half of the year. Of course, this is a strategic information. But at least could you tell us if you are more or less allocated than the average of the participants of the MRE in the second half of the year.
Antonio Sergio de Souza: Hello, Marcelo. This is Antonio from Copel Distribution. I want to comment on your first question about the truckers strike that we had in Brazil and it has affected all distributors just as the same. Here in Parana, we really had a small reduction, a small drop in the market, but it was recovered in the next month. We had an operating activity in which we directed our team to work with emergency issues only, we also had our mobility restricted for a while, but this was quickly solved by the state administration. I think we were one of the states that had the lowest impact in terms of mobility. And we even didn’t have -- our quality standard did not go down. Our levels for ELC and EFC were the same. So we did have impacts in our operations, but not in our results regarding quality and neither collection. We do not have delinquency because of that we have reduced our disconnections in that period and we have a record here, in our history here we had over 100,000 disconnections in a month. And as you’ve seen in the beginning of the presentation, we are developing new ways of collecting overdue bills, helping the consumers to avoid those disconnections, so that we can even improve further the collections.
Sergio Luiz Lamy: Okay. Marcelo, good morning. This is Lamy from Transmission. About your second question, a very straightforward question, answer is that we are more allocated for the second half than most of the market. Now going back to the first question about distribution. Would you say that the grid market could have grown 4%, 4.5%, if it were not by the strike, do you have any type of estimates regarding that? We did have a loss of 1.6% of the market in that period. But the growth in the half is already 2%. So, of course, there was an impact on the market, but this is already being recovered. We see market recovery of 2% in the quarter actually, not half of the year in the quarter, I’m sorry.
Marcelo Britto: Thank you very for your answer.
Operator: [Operator Instructions] Our next question is from Mr. Thiago Silva, Santander. Mr. Thiago, the floor is yours.
Thiago Silva: Good morning everyone. Thank you for this call. I have a question about the next auctions and these are Greenfield project. Are you looking at them, are you interested in those auctions. Auctions for transmission and for generation? And on the other hand are you interested in any divestments of your assets, especially renewable assets and also transmission assets as well? Thank you. Well, and if you allow me another question, considering that, you’re at 3.1x at your net debt EBITDA ratio. What would be the fine leverage, if you're interested in bringing down this leverage, or if it is at a level that you consider to be good?
Jonel Nazareno Iurk: Thiago, I'll start by the end and then I'll turn the floor to Lamy so that he can talk about the auctions and also Marcus, who will talk more about auctions. Our leverage, we wants to be close to 2. And was focusing on the -- that extension as I mentioned, because they have a duration of 4x -- I am sorry, of 4 years. I think that if we're able to improve that, that level of 3x a little bit below that, it's sustainable. So that's I would say this is our target for future years. That's where we are going to, that's our direction.
Sergio Luiz Lamy: Hello, good morning. Thank you for your question. Yes, Copel has to think about the long-term and we have major investments in the past few years. In fact, we are analyzing the auctions of this year. We are very much interested in renewable energy and totally in line with our financial area. We will check when we intend in our undertaking to divest. I can tell you that this new auction is being analyzed very cautiously. The A-6 makes us a feel comfortable because they have a linear level of investments that go away from the urgent needs of cash that we have, we are still analyzing the wind energy. We have interest in that as well. And also we are analyzing something related to photovoltaic energy. And in the case of transmission, we have a very interesting package of transmission in our assets and therefore we are very competitive. Well, about divestments to date, we have ongoing 20 projects. We already have an understanding because we have to be very detailed in this project if we are going to divest and we only maybe if we have funds in the future to have equivalent or better projects in the future. And so, I believe that in -- within three months we will have a very fine tuning in terms of planning for divestments.
Thiago Silva: Thank you very much..
Operator: Our next question is from Ms. Lilyanna Yang, HSBC. Ms. Lilyanna, the floor is yours.
Lilyanna Yang: Hello. Good morning. Thank you. My first question is what you are doing today to minimize risks of additional delays in the startup of operations of new projects? And my second question has to do with hydrology and your expectation to have Araucaria dispatched in the short-term? And how we can understand that perspective of the better use of the asset for the next year and the remaining years after that? Thank you.
Sergio Luiz Lamy: Hello, this is Lamy from G&T. Thank you for your question. We have several actions already implemented and I think that also we have an important evolution in our learning curve regarding the asset out of Parana, and they are already bearing fruit. You can prove that when you check the recent investments, all of them are already being built on time. We are in the schedule and some of them even ahead of schedule. So when we talk about scheduling and the construction work dates, I think I can tell you that this is -- it has problem and this is not happening in these recent project. We do have other projects such as Colider, but this is a project that is started in 2010, if I'm not mistaken. And -- but right now we are not facing problems anymore. And that is thanks to the actions that we have been taking when we plan our construction work. Now regarding your question for Araucaria plant, we have two strategies there. One of them on the short-term, obviously, we already have here -- for now, we submitted to ANEEL the approval a new unit variable cost for UEGA that provides us a very possible perspective and that's an optimistic perspective, and that we can still dispatch now in the second half of this year. And because we are considering these values in our costs and in terms of our long-term strategy, we are working with A-1 auction that has -- that is already being posted by the government, that's going to be happen by the end of December. We're starting to work on that, on that right now and we have great expectations there. And this -- and bidding in this auction so that we can have a strong plans for '19, and '20 for Araucaria, this is our goal. Well, I just hope that I’ve answered your questions.
Operator: If there are no further question from participants, we turn the floor back to the management for their final remarks.
Jonel Nazareno Iurk: Thank you very much for your participation. I believe that Copel is on the right track, a soundtrack and always in order to see the best interests of our shareholders. Thank you very much
Operator: Ladies and gentlemen, the conference call for Copel regarding the results of the second quarter of '18 has ended. Thank you very much.